Operator: Ladies and gentlemen, thank you for standing by welcome to the SEI Third Quarter 2014 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, instructions will be given at that time. [Operator Instructions]. As a reminder this conference is being recorded. I would now like to turn the conference over to your host Chairman and CEO Mr. Al West. Please go ahead.
Al West: Thank you. Good afternoon everybody and welcome. All of our segment leaders are on the call, as well as Dennis McGonigle, SEI's CFO; and Kathy Heilig, SEI's Controller. Now I'm going to start by recapping the third quarter 2014. I'll then turn it over to Dennis to cover LSV and the investment in new business segments. After that, each of the business segment leaders will comment on the results of their segments. And then finally, Kathy Heilig will provide you with some important company-wide statistics. Now as usual, we'll field questions at the end of each report. So let me start with the third quarter 2014. Third quarter earnings increased by 25% over earnings for the third quarter of 2013. Diluted earnings per share for the third quarter of $0.49 represents a 29% increase from the $0.38 reported for the third quarter of 2013. We also recorded a 15% increase in revenue from third quarter of 2013 to 2014. Also during the third quarter of 2014, our non-cash asset balances under management were unchanged. SEI’s assets under management grew slightly during the quarter and LSV’s assets under management dropped slightly. Finally during the third quarter of 2014, we have repurchased 2 million shares or SEI’s stock at an average price of $37.60 per share. That translates to $75.2 million of stock repurchases during the quarter. Now turning to sales. Our net new recurring revenue sales during the quarter were again good. Of the $27.5 million of net new sales events we generated, $25.6 million are recurring revenue. Each of the segment heads will address their sales activities. Now as you know the rollout of SWP continues. During the third quarter we capitalized approximately $7.9 million of the SEI Wealth Platform development and amortized approximately $9.8 million of previously capitalized development. Our development agenda for SWP remains to deliver functionality important to the large and medium sized advisors and banks in the U.S. and UK markets as well as to further automate our operations. As we discussed in our annual investor conference and reiterated last quarter, we are disappointed at how long it has taken to deliver the full platform, and in turn we’re also disappointed at the time it is taking to gain our first large initiative for SWP. While we are diligently working through the sales process with large potential clients, we have increased our retention on asset management distribution opportunities and improving profitability in the private banking segment in 2014 and beyond. Now in the Advisor segment, we have made solid progress in improving our asset gathering as well as in preparing for the rollout of SWP to the U.S. market. Now both are important to accelerate our growth and profits in this business. In the institutional segment, our strong sales and profits throughout the world are living proof of the strong market adoption of our differentiated fiduciary management solutions. And finally, our investment management services segment continues its success in both selling and implementing new business while differentiating our solutions. They are making progress selling to larger prospects and increasing the business we do with existing clients. Now behind all of our business units, I am encouraged by the feedback I receive from clients and prospects across our Company’s target markets. Our reputation for delivery remains intact and has strengthened. The sales activities and events in all units confirm the positive feelings in our client bases. Now this concludes my remarks. So I will now ask Dennis to give you an update on LSV and the investment in new business segment. I’ll then turn it over to the other business segments. Dennis?
Dennis McGonigle: Thanks Al. Good afternoon everyone. I’ll cover the third quarter results for the investments in new business segments and discuss the results of LSV Asset Management. During the third quarter 2014 the investments in new business segment continued its focus, principally on two areas, the ultra-high net worth investor segment and the development of a web-based investment services and a voice offering coupled with the use of global technologies. Some in the industry would consider this similar to row boat advisors. During the quarter the investments in new business segment incurred a loss of $3.4 million, which compares to a $3.1 million loss during the third quarter of 2013. There’s been no material change in this segment and we expect losses in this segment to continue in this range for the reminder of the year. Regarding LSV, our earnings from LSV represent our 39.3% ownership interest during the third quarter. LSV contributed approximately $38.2 million in income to SEI during the quarter. This compares to a $31.3 million contribution for the third quarter of 2013. Asset balances declined by approximately $500 million during the quarter due to decreased market valuation, which was offset by net positive cash flow. Cash flow at LSV during the quarter was a positive $1.6 billion and revenue in the quarter was $114.5 million. The earnings from LSV are recorded in the line item on our income statement, equity and earnings of unconsolidated affiliates. In addition to our proportional share of LSV earnings we also included in this line item are share of the income or losses related to our investment in Galfu, a Shanghai based investment advisory firm. For the quarter those losses were approximately $300,000. While not a material amount, I wanted to make sure you can reconcile this line item on the income statement. In addition as regard to Galfu, SEI’s total capital investment to date is approximately $15 million, of which $11.9 million remains on the balance sheet. During the fourth quarter we will be evaluating our continued involvement in Galfu, recoverability of the investment to date and any future investment commitments. As a final comment on third quarter I want to remind everyone that during the third quarter of 2013 SEI benefited from the lower tax rate due to state tax planning. This lower rate equated to approximately $0.03 in EPS for that quarter. I refer you to our 10-K and soon to be filed 10-Q for additional information. I’ll now take any questions you have.
Operator: (Operator Instructions). And one moment please for the first question. Your first question comes from the line of Glenn Greene. Please go ahead. 
Glenn Greene - Oppenheimer: Hey Dennis. Quick question on a LSV. The profitability of the $38.2 million was really strong year-over-year about Q-to-Q, and I think in the press release you eluded to performance fees you got in the quarter. Could you highlight how significant the performance fee is? And is that something we should be expecting periodically or I don’t know, maybe once a year kind of thing?
Dennis McGonigle: Generally our performance fess, similar performance is good compared to their contracted benchmarks. This quarter we called it out because normally they are -- comparatively to last year’s third quarter -- last year it was around about 7% of revenue and this year was more in the 10% range. So little bit higher and they had a much stronger performance quarter. But every quarter there are some similar things are going on -- there's some level of performance fees but it is true that third quarters of this year tend to be higher quarter if they are doing well, really because of the adversary data of their client contracts.
Glenn Greene - Oppenheimer: So all else equal, probably be more normalized, should be something like 7% around the fourth quarter?
Dennis McGonigle: No I wouldn’t say that because each quarter is little bit different. It really depends on the calendaring of their client contracts. Because it’s an annual number generally based on when their client relations were initiated. 
Glenn Greene - Oppenheimer: Okay, that make sense. 
Dennis McGonigle: So my point is third quarter usually the -- if they are doing well the higher quarter of all four of the quarters because they have more clients with calendar in that quarter. 
Operator: (Operator Instructions). And at this time there are no further questions. 
Al West: Thank you. I'm now going to turn it over to Joe Ujobai to discuss our private banking segment. Joe?
Joseph Ujobai: Thank you Al. For private banking, from the year-ago quarter revenue of $110 million was up 13% and profit increased to $9.7 million from $1.8 million. Improvement from the year-ago quarter was largely driven by, number one, higher recurring investment processing and mutual fund trading revenue. We continue to grow assets on the SEI Wealth Platform. In UK we added over $900 million in net cash flow. In the U.S. we converted our sixth client driving trust company as part of our step in strategy. And two, higher asset management revenue based on increased assets under management in our growing distribution business. During the quarter we added $450 million of net cash flow in SEI investment solutions. Despite strong cash flow in both our processing and asset management businesses revenue in ending balances were negatively impacted by currency exchange rates and market depreciation. As a reminder during Q2 2014 we saw a one-time $6 million professional services fee related to SWP discovery at a large bank prospect. Turning to business development. Net sales events for the quarter were $5.4 million, $3.8 million of which is recurring. Recurring sales events were approximately 60% related to investment profit and 40% to asset management distribution. Worldwide we now have 30 signed SWP clients with a backlog of approximately $4.3 million in recurring revenue that should install over the next 18 months. As we've discussed throughout the year, our market activity is focused on capturing a large early adopter client in the U.S. We continue to make slow, but steady progress towards that goal. Executive engagement at our prospects is strong and is the most important factor in driving towards final decisions and signed contracts. In the meantime we will drive modest incremental revenue and profit growth by number one, growing current trust 3,000 and FWP clients, number two, stolen the SWP backlog; number three, driving momentum in the asset management distribution business and number four, controlling these expenses as we continue to build out platform. Third quarter results reflect our focus. Any questions?
Operator: (Operator Instructions). You have a question from the line of Robert Lee. Please go ahead.
Robert Lee - KBW: Couple of questions, first on the -- if you think of a SWP just for -- how do you build out the business and the trajectory in the sense that if they don’t sign another large client over the next several quarters; do you feel that there is enough between your focus on expenses and the growth in the asset management business and kind of what the backlog in SWP that there is still enough revenue growth and expense controls that gat you some positive operating leverage without signing an SWP client over the coming year, if that were not to happen?
Joe Ujobai: Yeah, it will be incremental and slower that we would like. So I think signing -- we built this to sign big deals. So yes, we’ll see positive momentum incremental, but it will slow. It's not a big deal.
Robert Lee - KBW: Okay. And you mentioned -- focused on a larger adopter in the U.S., but could you maybe shift gears a little bit and go back to the UK? I'm assuming that's still the focus there or have you kind of looked at the UK market and saying that maybe there is really not much on the horizon of putting all the effort into the U.S. or am I just parsing the words too much?
Joe Ujobai: Yes, you probably -- we're very active in the UK. We have 20 clients up and installed and I think we are doing two things there. One is we’re focusing on upping those clients were out. So we’re seeing revenue growth from current clients and the platform is a great infrastructure to help them grow their business and we’re seeing that play out in some of our clients as we expected and we are actively in the market trying to bring on new names there too.
Robert Lee - KBW: So and just to make sure I understand correctly, the 5.4 million of net sales in the quarter that which I guess was 40% asset management and 60% processing, so that’s a combination -- should I think if that as a combination of what was kind of infrastructure backlog that kind of comes on the platform as well as the organic growth of the 20 or so existing clients in the UK? Primarily is that’s the right way to think of that?
Joe Ujobai: So the processing side is generally new contracts. So it's where we sold a new processing deal. So we sold a community bank in the U.S. so that would be on the platform, that will be included there and we would sell some additional services to some current clients. And on the asset management side it would be, the net new assets that cash flow that we sold.
Robert Lee - KBW: Actually I misspoke. I was really meaning that the $900 million of net cash in the UK. I apologize.
Joe Ujobai: Yes, so that would be with the current clients. We will consider that net sales for current clients.
Robert Lee - KBW: Right. So, I guess the main point being that the existing clients themselves are growing organically. So you’re capturing financial [ph] growth.
Joe Ujobai: Yes, that’s correct. So, I think as you know we changed the business model where it's largely a UA based. So as our clients grow our revenue grows. And I think that’s the big difference between the legacy business and the SWP business, is that if our clients grow, our revenue should grow.
Operator: Your next question comes from the line of Chris Donat. Please go ahead.
Chris Donat - Sandler O'Neill: Two questions on the private banks businesses. I think about the $40 billion in total assets. Can you give us a ballpark on what’s over season? And then the related question is thinking about currency exposure, is it mostly British pound or are there the currencies involved?
Joe Ujobai: Yes, about $30 billion is based on our UK clients on the platform in U.S. and the exposure is largely British pounds.
Chris Donat - Sandler O'Neill: Okay, so got it. So I was looking at the move in the third quarter. It looks like if the fourth quarter plays out that way, it's another headwind but that’s an assumption. Anyway.
Operator: Next we’ll go back to the line of Glenn Greene. Please go ahead.
Glenn Greene - Oppenheimer: Joe, just thinking out loud and just a clarification on the last question. The $40 billion assets under management administration that shows up in your reported numbers, does that include the SWP assets or do you keep that segregated? I’m little confused right now.
Joe Ujobai: That is the SWP asset.
Glenn Greene - Oppenheimer: It is, okay. So that is reported in those numbers. So the asset management business which -- 
Joe Ujobai: I’m sorry; maybe I missed to answer the question. [Indiscernible] on the earnings release.
Glenn Greene - Oppenheimer: Yes.
Joe Ujobai: We have the asset balance schedule. 
Glenn Greene - Oppenheimer: Yes.
Joe Ujobai: The assets under administration that show up in our bank there are at mutual fund administration assets.
Glenn Greene - Oppenheimer: Right, that’s what I thought.
Dennis McGonigle: The $40 billion you talks about is contemporary SWP assets on a platform. They are two different numbers.
Glenn Greene - Oppenheimer: And that was split 30/10 between UK and U.S.?
Joe Ujobai: Yes, for SWP, yes.
Glenn Greene - Oppenheimer: Got it. Then maybe it would helpful, could you give us a sense what kind of revenue rate we’re on for SWP and what proportion of potential client assets have converted that this point of the starting clients. 
Joe Ujobai: What do you mean by revenue rate? You’re asking for that?
Glenn Greene - Oppenheimer: Are you 25 million, 30 million annual revenue run rate and do you have 60%, 70% of potential assets of clients that you signed converted on to the system.
Joe Ujobai: So as I’ve mentioned, we have a backlog about $4.3 million clients to covert. So there are a handful of clients that are still left to convert and we don’t breakout the SWP revenue from the rest of the processing revenue at this point.
Glenn Greene - Oppenheimer: Okay. I was just trying to get an update because I think the last time you may have disclosed like a timeline might have been 2012, you gave a timeline after 2014, 2015.
Joe Ujobai: Yes, we did that for the UK business and we’re on track for that number. 
Glenn Greene - Oppenheimer: Okay. And the asset management distribution business which seems to have a lot of momentum, can you give us a frame of reference, how big that is in proportion to total private banking and trust revenue, the relative growth rate for it.
Joe Ujobai: It’s about 25% of our revenue.
Glenn Greene - Oppenheimer: Okay.
Joe Ujobai: And that revenue has been growing at about 20%.
Glenn Greene - Oppenheimer: And is it -- over time, not today but what’s the profitability potential of that business? Is it like Wayne’s business when it scales?
Joe Ujobai: Yes it is, less profitable now because it isn’t as big but yes, I think it has some pretty significant profitability margin potential.
Dennis McGonigle: Glenn, its Dennis again. The breakout revenue asset management versus processing is in the Q.
Operator: Your next question comes from the line of Thomas McCrohan. Please go ahead.
Thomas McCrohan: Hi, Joe. Just follow up on SWP, can you update us on the size of the U.S. SWP pipeline in terms of total potential revenue and the mix between large versus smaller prospects?
Joe Ujobai: It remains about the same, as we talked about over the last couple of meetings and nothing is really fallen out. So what we’re really doing is focusing on the larger firms and really focusing on trying to get some of these big guys to close. 
Thomas McCrohan: And I think in the past, maybe it was the last Analyst Day, you talked about working with some third party, like accounting firms consultancies to kind of help build out the ecosystem. Is there any update on that you can provide us?
Joe Ujobai: We are actively working with a number of third parties as we’re making progress in the large space. Sometimes those firms are hiring third parties to help them in the decision process. So that happens create some momentum in the market. Third-parties are more interested and I would say we’re making good progress in that area too.
Operator: And at this time there are no further questions. 
Joe Ujobai: Thanks. 
Al West: Thanks Joe. Our next segment is investment advisors. Wayne Withrow will cover the segment. Wayne?
Wayne Withrow: Thanks Al. During the third quarter we continued good cash flow momentum and had another solid quarter of new advisor recruiting. Assets under management were $45.4 billion at September 30th, a 16% improvement from a year ago. During the quarter we had almost $1.1 billion of positive net cash flow. Revenues for the quarter were $74.5 million. This compares to $61.4 million for the third quarter of last year, an increase of 21%. Expenses for the quarter increased from the third quarter of last year, primarily due to an increase in direct cost and personnel cost associated with our asset growth, an increased expenses associated with the SEI Wealth Platform. These same items were the primary driver of increased expenses in the second quarter of this year. On the new business front, we signed 154 new advisors during the quarter. Our pipeline of prospects remains strong. Moving on to the status for the SEI Wealth Platform. We continue to implement the learnings from our May 31st conversion and remain on track for an additional conversion of similar size before the end of this year. We have a goal of getting to larger conversions and the start of new revenue opportunities before the end of 2015. Before I wrap-up, I would like to mention that we are beginning to see a shift from some of our riskier, higher revenue investment strategies to more conservative investment strategies. While I don’t see any slowdown in our overall business momentum, this will create a headwind going into the fourth quarter. In summary net cash flow and new advisor recruiting were very positive for the quarter, momentum remains strong, and the wealth platform remains on the horizon. I now welcome any questions you have. 
Operator: (Operator Instructions). And at this time there are no questions. 
Al West: Thank you, Wayne. Our next segment is the Institutional Investor segment. And I'm going to turn it over to Ed Loughlin to discuss the segment. Thanks. 
Edward Loughlin: Thanks Al. Good afternoon everyone. I'm going to start with the financials for the quarter and then discuss the sales activity. Revenues approaching $73 million for the third quarter increased 14% compared to the year-ago period. New client funding and market appreciation during the quarter fueled the increases. Quarterly profits of $37 million increased 22% compared to the third quarter of 2013. Margins for the quarter increased to 51%. Asset balances grew to $75 billion on September 30, an increase of $800 million for the quarter. Net new client assets funded during the quarter were $1.3 billion, and the backlog of committed but unfunded assets at quarter end was $570 million. New client sales closed during the quarter were $1.6 billion. New client adoption continues to be well diversified by both market segment and geography. Several years ago we targeted municipalities as a growth opportunity and I'm happy to report we have successfully since then added $2.2 billion in access from local governments. Fiduciary management is now moving into the defined contribution space and our sales and marketing groups are busy establishing SEI as an experienced player. We continue to be well positioned to successfully compete in the institutional fiduciary management space, we enjoy a strong pipeline and we remain optimistic about the growth opportunities for the segment. Thank you very much. And I'm happy to entertain any questions you have. 
Operator: (Operator Instructions). We have a question from the line of Chris Donat. Please go ahead. 
Christopher Donat - Sandler O'Neill: Just a follow-up on an announcement you made during the quarter about hiring a hedge fund specialist in the institutional segment. As they would have this sort of coincided with Kelper’s announcement that they were getting out of hedge funds; and I am just wondering what’s the strategic rational there? Are your clients demanding or asking or you just trying to keep as broad an investment opportunity base as you can for your clients?
Edward Loughlin: I don’t care to comment on Kelper’s decision. So I don’t think that probably is appropriate. But basically what we're seeing is that the hedge space, the private equity space and real-estate space, all of these in the alternative area are good diversifiers for our clients, especially those corporate pension plans that as they start down the path of kind of matching interest rates to their liabilities, they do need to have some other diversifying assets in the growth portion of their portfolio. And as you know -- historically the foundation space has always been a big consumer of these asset classes. And I don’t think that Kelper's making that decision is going to change their mind. So that’s the reason for the hire. 
Operator: (Operator Instructions). Next we will go to the line of Robert Lee. Please go ahead. 
Robert Lee - KBW: Just a margin question on 51%. And you've been running at 50% or greater last three quarters. And I know it kind of ebbs and flows over time, but is there anything in this quarter from an expense perspective that kind of camp down the expense levels at all or should we feel like this is kind of -- given the scale of the business kind of a reasonable run rate to think about somewhere in this kind of 50-51 range going forward?
Edward Loughlin: Well, there is nothing -- to the first part of your question; there is nothing unusual from an expense perspective in the quarter that is the reason for the kind of one-time type of revenue or the increase. I would say that this segment I think will continue to enjoy respectable margins. They will fluctuate but I think will always be in a range that are very appropriate.
Robert Lee - KBW: Okay. And just curious about, maybe update us a little bit on the pricing environment. As you guys have done and targeted some larger relationships and also there has been this movement, maybe at least talk about unbundling -- kind of -- what are you paying for your services versus asset management, doing a kind of a bundled fee and are you seeing those conversations or demands feed up or is it really just all kind of talk at this point. I mean just any color on that will be helpful?
Edward Loughlin: Sure, I would that there is some movement towards the unbundling of the fees. It tends to be with larger pools of money and there is also tends to be probably more along the lines when we're competing against some of the investment consultants or actuarial consultants that have moved into this particular space. I think it's early for us to really kind of give you some quantitative information as to what the impact might be. We have had that many deals to be able to quantify that. And as you may recall, typically what happens is we move a client over, we kind of convert them to their old asset allocation and then in subsequent quarters we put on the alternatives. So we don’t really know the exact fee that the client would pay for probably six to nine months. But we’ll keep you informed of that.
Operator:  Your next question comes from the line of Glenn Greene. Please go ahead.
Glenn Greene - Oppenheimer: Just a real quick question. Is there any update or any new color you could share with us, related to the defined contribution opportunity that you’ve alluded to recently?
Edward Loughlin: Yes, did you guys clear the 51% margins? Yes, in the DC space, I think that we’re out there doing the basic ground work that you need to do and so for as participating in that particular area. So there is a lot of marketing things that are going on. We’re attending conferences. We have our outbound telemarketing and kind of the calling efforts going on. So we’re pretty active so far is putting the foundation in place for us to be able to start to close business. It takes a while.
Operator: And at this time there are no further questions.
Al West: Thank you, Ed. Our final segment today is investment managers. I'm going to turn it over to Steve Meyer to discuss this segment. Steve?
Steve Meyer: Thanks Al. Good afternoon, everyone. For the third quarter of 2014, revenues from the segment total $63.6 million, which was $6.4 million, or 11.1% higher in our revenue as compared to third quarter of last year. This year-over-year increase in revenue was primarily due to an increase on our asset balances along with new client fundings across all our products. Our quarterly profit for the segment of $23.5 million was approximately $4 million or 20.4% higher than the third quarter of 2013. Third party asset balances at the end of the third quarter of 2014 were $346.8 million, approximately $9.3 billion or 2.8% higher as compared to our asset balances at the end of the second quarter 2014. This increase in assets was primarily due to net positive cash flows of $5.3 billion, enhanced by market appreciation of $4 billion. From a market standpoint we believe the investment manager industry is evolving rapidly. In order to stay ahead of our clients and process emerging needs, we continue to invest in our solutions and platform. We are focused on several key areas and investments, specifically middle and front office services and increased capabilities, global risk and regulatory compliance solutions, increased reporting and investor insights for our clients. Returning to sales activity, during the third quarter 2014, we have our largest sales quarter in over a year. Net new business sales events totaled $10.3 million in annualized revenue. These events were allocated across all of our market segments and approximately 55% of this revenue came from new named business this quarter. We continue to see strong business activity, specifically in middle office opportunity and also with larger manager outsourcing agendas. Additionally, we continue to see strong progress from the traditional side of our market with more focus on selective investment trust and exchange trader funds. Overall these opportunities are still in longer sales and implantation cycles especially in the larger deals. However we are optimistic about our pipeline and growth prospects. That concludes my prepared remarks and I’ll now turn it over for any questions you may have.
Operator: (Operator Instructions). We’ll go back to the line of Chris Donat. Please go ahead,
Chris Donat - Sandler O'Neill: Just on the $10.3 million of sales, over what sort of time horizon should we think about that coming into revenue. Is that more on the 18 month or --?
Steve Meyer: Over the next 12 to 14 months. Some of it I would say there is a portion of it, probably 30% of so will probably happen a little sooner than that.
Chris Donat - Sandler O'Neill: Okay. By sooner --?
Steve Meyer: Within the next six to nine months.
Operator: (Operator Instructions) Next we’ll go to the line of Robert Lee. Please go ahead.
Robert Lee - KBW : So I have to ask you the margin question too I guess.
Steve Meyer: Margins will sustain a level that is appropriate I think -- think today.
Robert Lee - KBW: What is the appropriate level?
Steve Meyer: Hold on, let me turn it over to Ed. No Rob, we've discussed this before. I feel very comfortable and I hate sounding like a broken record. I feel very comfortable for this business, even though I think we are setting pace with the industry, I feel very comfortable where our business running in the mid-30 level and expected to continue there. There will be spikes up and down as investments continue. I'd say this quarter our investments just due to timing were little less but we also as I said last time I think in the last quarterly call, we continue look for ways to improve our processes and become more efficient and productive. So I feel comfortable as we grow the business, while there might spikes, this will still be within the mid-30s margin business. 
Operator: And at this time there are no further questions. 
Al West: Thank you, Steve. And I’d like Kathy Heilig to give you a few company-wide statistics. Kathy?
Kathy Heilig: Thanks Al. Good afternoon everyone. I have some additional corporate information regarding this quarter. Third quarter cash flow from operations was $97.9 million or $0.57 per share. Year-to-date cash flow from operations is $241 million. Free cash flow for the third quarter was $82.1 million or $0.47 per share and year-to-date free cash flow was $188 million. Capital expenditures this quarter, excluding the building were $7.8 million. The expenditures for the fourth quarter is expected to be around $4 million. As noted in the press release, the tax rate was 34.7% but we would expect that in the fourth quarter the tax rate would range between 35% and 36%. We also would like to remind you that many of our comments are forward-looking statements and are based upon assumptions that involve risk and that the financial information presented in our release and on this call is unaudited. Future revenues and income could differ from expected results. We have no obligation to update or correct any statements herein as a result and future development. You should refer to our periodic SEC filings for a description of various risks and uncertainties that could affect our future financial results. And now feel free to ask any other questions that you may have.
Operator: 
 :
Glenn Greene - Oppenheimer: Thanks. Can't let Wayne get off so easily. So I got to follow up with a couple of questions. 
Wayne Withrow: Glenn, before you [indiscernible], I would like to point, unlike your prior comment there is no other business like my business.
Glenn Greene - Oppenheimer: There is lot of comments really to that but I won’t go there. So the revenue Wayne, the revenue the 21% growth or 6% Q-to-Q clearly outpaced the asset growth. So the question is was there anything unusual in terms of revenue recognition in the quarter or why did the yield increase as much as it did. This is the first question. I’ll go to second.
Wayne Withrow: Yes, we did have a little spike in one-time season quarter.
Glenn Greene - Oppenheimer: Order of magnitude? Or it’s not appropriate to tell me?
Wayne Withrow: Maybe like $0.5 million.
Glenn Greene - Oppenheimer: Okay. And then you sort of called out the de-risking of assets I guess and some magnitude of headwind going into the fourth quarter. Anyway to sort of frame out so we can think about that rate as we go forward?
Wayne Withrow: It’s sort of impossible to frame it right now. We're three weeks into the quarter and it’s the beginning of a trend and I think if markets bounce back, I think it will be very successful. It’s hard to say. If it continues like this it will accelerate. So I don’t know what’s going to happen in this space this going forward.
Glenn Greene - Oppenheimer: Is this just something that you started see like in October or were you seeing it toward the tail end of the third quarter.
Wayne Withrow: I think both.
Operator: And at this time there are no further questions.
Al West: Thank you. So ladies and gentlemen, in conclusion we continue to concentrate on maintaining highly satisfied clients, growing new business events, controlling cost and investing in projects critical to our future and our focus on long-term growth and revenues and profits is unwavering and I'm bullish about our intermediate and longer term business opportunities and feel good about our progress in the short term. So before we leave you, we’ll give you one more chance to ask Wayne a question and anybody else.
Operator: (Operator Instructions). And at this time there are no questions. 
Al West: Very good. Have a great afternoon everybody. And thank you very much for your attendance. 